Operator: Good day, ladies and gentlemen, and welcome to the Q3, 2012 Sonoco Earnings Conference Call. My name is Kristen, and I’ll be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Mr. Roger Schrum, Vice President of Investor Relations. Please proceed sir.
Roger Schrum: A news release reviewing the company’s financial results was issued before the market opened today and is available on the Investor Relations section of our website at sonoco.com. In addition, we will refer to a presentation that is posted on the Investors site during the call. I’ll briefly remind you that today’s call may contain a number of forward-looking statements that are based on current expectations, estimates and projections. These statements are not guarantees of future performance and are subject to certain risks and uncertainties. Therefore, actual results may differ materially. Additional information about factors that could cause different results and information about the use by the company of non-GAAP financial measures is available in today’s news release and on our company’s website. Now with that introduction, I’ll turn it over to Barry.
Barry Saunders: Thank you, Roger. I will begin on slide three where you see that this morning we reported third quarter earnings per diluted share on a GAAP basis of $0.57 and base EPS of $0.55, which compares to $0.66 for the same quarter last year. These results were slightly better than our updated guidance issued on September 10 of $0.51 to $0.53 per share, primarily due to a slightly lower than expected effective tax rate for the quarter. Before reviewing the base P&L for the quarter, I’ll mention that a reconciliation of GAAP to base earnings is in today’s press release and on our website and is summarized on this slide. Restructuring charges of $5.5 million primarily related to previously announced restructuring initiatives, were essentially offset by gains on the sale two vacated properties. The remaining $0.02 and other represents recoveries from property insurance claims. Last year, in addition to restructuring charges, we also had a $0.17 benefits in taxes from the release of evaluation reserve against deferred tax asset. Turning to slide four, you find our base P&L, where you see that sales were $1.196 billion, which represented a 6% increase over the prior year. But as you’ll see in the sales bridge, this was driven by the Tegrant acquisition. Gross profit was $206.2 million, which was $19.5 million higher than last year, also driven by the Tegrant acquisition. Selling and administrative and other charges were $113 million, which were up $25 million year-over-year. Much of that increase was due to Tegrant, but the balance was due to the impact of wage inflations, higher pension cost, and the lack of having benefit of $3 million in life insurance proceeds and $2 million foreign exchange gain in the third quarter last year. Debt-to-EBIT was $92.7 million, which was down $5.8 million or 6% from last year, and you’ll see the drivers that change in the EBIT bridge in just a moment. Interest expense was $14.8 million, which was higher than last year due to the additional debt issued for the financing of the Tegrant acquisition. Income taxes of $24.4 million were just $1.9 million below last year as the impact of the lower earnings before taxes was partially offset by a higher effective tax rate of 31.3%, which was up from 29.1% last year where the rate was lower due to the benefit of the tax exempt life insurance proceeds. Equity and affiliates and minority interest was in line with last year. Thus base net income was $56.3 million or $0.55 per share as compared to $0.66 last year. Turning to the sales bridge on slide five which reconciles the year-over-year change in sales, you see that volume was just marginally positive by $9.8 million for the company as a whole. In the consumer businesses, overall volume was down 3.5%, unit volume in composite cans in North America was down 3.5%, while in the associated metal closures business total units were down 2%, as the trade sales shortfall of about 7% was partially offset by an increase in inter-company sales. Flexibles volume was down 3%, blow-molded plastics volume down 3% and thermoforming plastic unit sales were down 4%. In the industrial businesses, overall trade volume was actually up 2%, but this was driven by an increase in recycling activity and the sale of paper externally. Volume in tubes and cores in North America was only 1% lower year-over-year. Volume in Europe was actually surprising as it was essentially flat, as an 11% increase in the sales in the frontier countries to the east, offset the 3% decline in legacy countries in Western Europe. Overall in Europe, volume would have been down about 4% due to market demand, but we had a net share gain of a similar amount, thus our volume was, again, just down slightly year-over-year. Asia volume was down 11%, but that was driven by continued lower sales in China and in Thailand due to the impact of last year’s flood. We did see a nice improvement of 14% in Tubes and Cores South America, but that was largely due to a fairly weak third quarter comparison last year, but also some share pickup. In Packaging Services, volume was up primarily due to more activity in international manipulation and fulfillment. Moving down to price, you see that prices for the company as a whole were down $31.9 million, driven by lower OCC prices impacting the Paper and Industrial Converted Products segment. Many contracts in both Paper and Tubes and Cores North America reset at June’s OCC price of $125 per ton versus $150 in June of 2011. Prices were also lower through recycling sales, as OCC averaged in the southeast $92 per ton this year versus $173 for the same quarter last year. Acquisitions added $120.4 million to sales, most all of which was related to Tegrant. Although you don’t see the comparison in our numbers, their overall sales were up 4% year-over-year as a 9% improvement in both the ThermoSafe and Protexic businesses was partially offset by a 14% decline in ROE. Exchange and other miscellaneous changes negatively impacted sales by $27 million with translation of sales in foreign currencies making up most of this amount due to the strengthening of the dollar against all major currencies year-over-year, thus bringing sales for the quarter to a record $1.195 billion. Turning to the EBIT bridge on slide six, you see that the volume change in mix actually resulted in a $4 million reduction to earnings. The primary driver of the reduction was associated with the lower consumer volume, while the increase in Paper and Industrial Converted Products was driven by paper trade volume which largely offset lower inter-company paper sales, so there was no significant EBIT added. And recycling sales were also up year-over-year but with very little contribution margin given the level of OCC prices. Also mentioned that Packaging Services volume was up but that increase was also in some of the lower margin activities as well. Price cost was positive by $5.3 million for the quarter and this was due to favorable price cost in both the consumer segment and the industrial – Paper and Industrial Converted Products segment, but I will mention that the favorable price cost in Paper and Industrial Converted Products was really not as strong as you might have otherwise expected by looking at prices simply in the Southeast. Most of our recycling activity is in the Southeast where profit margins were eroded by falling prices and some margin compression as well. And on the Paper side, we did not see an offsetting benefit as about 50% of OCC for using our paper operation comes from other regions where the variance was not as favorable, and only a portion of our total recovered paper is in fact OCC. And certain not all fiber sources fill as much as Southeast OCC price. Moving down to productivity; productively was 4.1 million pound and was very like this quarter and was one of the primary reasons for lowering our guidance in September. Much of the shortfall was in our paper operations where we had significantly more downtime than expected. In terms of year-over-year comparisons, we did not see as significant number of additional down days, but productivity was negative due to the higher fiber and other material uses and numerous operational issues at four different new locations. Productivity was also wide in the Consumer segment, driven primarily by plant consolidation activity in the thermoforming business. Acquisitions added $9.4 million to EBIT, and this was again almost entirely due to Tegrant, and after interest, Tegrant was accretive to earnings by $0.02. This was a little wider than we had expected due to lower sales in our void and some operational issues, but overall, synergies are coming in pretty much as planned. The all other category was negative year-over-year by $15.6 million, and this was driven by several factors. As I mentioned earlier, last year we had the benefit of some executive life insurance proceed and some notable foreign exchange gains. The balance of the difference is due to inflation and the impact of translation, which negatively the EBIT by $2 million year-over-year, due to strengthening of the dollar. And pension expense was $5 million or $0.03 per share higher driven primarily by the lower discount rate at the end of last year. Thus the EBIT was $92.7 million for the third quarter. Results by segment are found on slide seven, where the consumer businesses, sales decreased 5.4% due to the lower volume while earnings were down 16% as the EBIT margin dropped to 9.2% due to the deleveraging of the lower volume and the mix of business, higher pension costs, and the lack of other favorable income items last year. For the Paper and Industrial Converted businesses, sales were down 6.2%, while EBIT was down 12.6% as the margin dropped to 7.3% of sales. In Packaging Services, sales were up 10% and EBIT up 6% with the margin down only slightly and resultant Protective Packaging were of course driven by the Tegrant acquisition with the EBIT margin at 7.5%. Now looking forward on slide eight, we’re projecting that base EPS will be between $0.52 and $0.56 per share in the fourth quarter, which is up from last year’s $0.46. Our full-year base guidance is in the range of $2.17 to $2.21 per share. This guidance assumes no notable change in the level of economic activity other than normal seasonality. It also assumes that there will be no further change in OCC from the October price, which moved from $75 in September up to $80 and we’ve also assumed that the effective tax rate is approximately 33% in the fourth quarter. Our cash flow summary is on the next slide, we were pleased that we had cash from operations for the quarter of $152.2 million as compared to $99.8 million for the same quarter last year. The year-over-year improvement was driven by working capital where we reduced working capital by $11 million in this year’s third quarter versus an increase of about $36 million in the same quarter last year. Some of the reduction is associated with lower OCC prices, which impacts both inventory and receivables. Net capital spending was $40 million for the quarter, which was in line with our expectations but is lower than last year due to the fact that we did have the proceeds from the sale of two vacated properties that partially offset the spending. In terms of our expectations for the full-year, we are now projecting that cash from operations will be approximately $410 million, net capital spending should still be in the $200 million range and after dividends of $120 million, we would expect to have free cash flow of roughly $90 million for the year, which is up $20 million from our previous projection of $70 million. Speaking of dividends, you might have seen that on Monday, our Board of Directors declared a dividend of $0.30 per share, representing the 350th consecutive quarterly dividend dating back to 1925. That completes my overview of the results for the quarter, and we’ll now open the line up for questions.
Operator: Thank you. (Operator Instructions) And your first question comes from the line of George Staphos from Bank of America. Please go ahead, George.
George Staphos – Bank of America: Thanks. Hi, everyone. Good morning.
Harris DeLoach: Good morning, George.
Barry Saunders: Good morning. How are you doing?
George Staphos – Bank of America: Doing well. Thanks for all the details. I guess my first question is around consumer relative to industrial and relative to the preannouncement. You know from my vantage point, it seems like consumer perhaps was a bigger issue in the quarter than perhaps maybe you initially thought as related in (inaudible). You said Industrial performed a little bit better than expected as the quarter came to conclusion, would you agree or disagree with that especially around consumer and could you get into a little bit more the details as to what happened?
Harris DeLoach: George, this is Harris, good morning. How are you?
George Staphos – Bank of America: Hey, Harris.
Harris DeLoach: Yes, I would agree with that. When we came out in the preannouncement on 1 of September, obviously we talked about volumes overall. And we also talked about some inefficiencies in the mill system as a result of the fatality here in Hartsville, and the downtown that we’ve taken in several other mills. And at that point in time, we thought we were seeing Industrial and Consumer, but actually Industrial turned out – as you point out little better than we anticipated, if you look at the Consumer, I think Barry said, and I think the number was down about 3.5% overall. And if you look at a band, if you look at composite cans, it was down about 3.5% to 4%, was down about 3%, was down. And we will give you a little more color on that. We saw and attribute that to a couple of buckets. One, we’ve got several of our large customers that are going through some structural changes in their business from splitting the business up to re-forecasting after reformatting their businesses and we have seen volumes from those customers, temporarily fall-off as they go through this, and then Mancil say that some eyes as of the ball, but they obviously are focused on getting things done. We have seen the impact of that and in conversations with them we have no reasons to think that won’t come back, if not and certainly as the course of the year.
George Staphos – Bank of America: All right.
Barry Saunders: And I would say that and consumer spending in general would count, but George, I would speculate 90% and 95% of that shortfall. We don’t know of any business that we have lost. The only conversion that we are aware of our of composite cans, it was one that we talked about several quarters ago where as a result of the sale of the metal can business, one of our consumer products companies moved back to metal cans as part of that deal. Other than that, we now have no conversion and no loud share in that business. So hopefully that gives you some color on it.
George Staphos – Bank of America: It helps, Barry. I guess the other thing that struck me though is that for all of that we talk about where that you talk about over time that you’d like to get to more of a consumer mix because it hopefully makes the business a little bit more stable, less cyclical, the detrimental margin to consumer was significantly more in Consumer this quarter versus Industrial. Barry, you mentioned a few things, could you – mentioned pension, can you help us bridge the EBIT change relative to those three or four things that you’d mentioned? Because again, 31% detrimental margin is not we didn’t really assume for these business, at least I don’t think so.
Harris DeLoach: I would – Barry will look at that and then do that. George, I would say there was a mix of business in the composite can side and we also had some startup in the Beauty Park. Although Beauty Park in the blow molding business was profitable in the second month, which was a great thing, it came up very well. There were some startup costs in there that would have affected the operating margins in the consumer side as well. But I don’t think it certainly changes our fundamental strategy of more consumer orientation and growing the consumer side of the business and we’re quite comfortable that we can operate at that 10% margin that we’ve talked about, and we have operated well.
George Staphos – Bank of America: Okay. My last question and I’ll turn it over to Protective. If we look at what you performed at last year, I think you said it was about – or you reported $3.4 million in EBIT, you said the legacy business which are component of that were down about 10% and you mentioned that Tegrant added about $9.4 million in EBIT on a year-over-year basis. When I mix some estimates and add that $9.4 million, the EBIT that you reported this quarter, $10.6 million or so, seems a little light. Again, would you agree or disagree with that relative to what your expectations would have been? And you mention Alloyd being the issue, can you gives us a bit more color there? Thanks guys. I’ll turn it over.
Harris DeLoach: Yeah, we’ll try to do that, George. There is no question. It was a little wider than we would – we have thought of. I would put that in three buckets with a couple of buckets as well. The first one is that Alloyd is lighter than we would have anticipated it being on volume. That was really two-fold; one was a conscious decision by management of Tegrant before we acquired them to walk away from two EBITs if they had in the fourth quarter of last year, the third quarter and fourth quarter of last year. I think if they had that to do all again they probably would have done it, but nonetheless they did that. And then just overall consumer spending has driven the comps down in that business. That’s the first thing. I think we’ve said before and Jack said it and I have said it, and I think Jack has said it as well that we underestimated when we acquired Tegrant the complexity of integration that they were going through, that they had made a year progress acquiring them when they acquired Createc, and we felt the integration of that business was further long than it actually was. So, basically we spent the better part of two months of the first two quarters as well as some of this quarter doing some of the implementation that we felt it been further along and that continued to have some operating efficiencies issues in the plants and Protexic and ThermoSafe. I think those are behind us now, certainly should be by the end of the year. And the third thing I will say about this business is, I’m pleased to say that we thought we would be at a $12 million run rate of synergies between our business and their business by year-end. We are on track to do that. And the acquisition is going quite well with the coordination, with our other businesses, with growth opportunities particularly in the Services business in core flex. And so overall we are very pleased about this acquisition. Hopefully that gives you a little color.
George Staphos – Bank of America: Thanks, Harris, I’ll turn over.
Roger Schrum: You’re welcome, George.
Operator: Thank you Barry. Your next question comes from Ghansham Panjabi from Robert Baird. Please go ahead, sir.
Ghansham Panjabi – Robert Baird: Yes, good morning.
Roger Schrum: Good morning.
Ghansham Panjabi – Robert Baird: In your press release, you talked about operating rates in your mills being higher just to sort of rebuild inventory post-3Q. Can you just quantify the impact in the fourth quarter, if you can?
Harris DeLoach: Barry?
Barry Saunders: Yes. Certainly. As we just – as we described we did have significantly more down days and in the third quarter than we expected, we have about 175 machine days down and we were only expecting to have about 100 days down or so, and we’d expect to rate some more to that in the fourth quarter, which would represent just normal downtime days.
Harris DeLoach: That’s correct. We expect to put some 3,000 tons to 5,000 tons into inventory over the period.
Ghansham Panjabi – Robert Baird: Okay. And then the working capital – excuse me, the free cash flow on upsizing if you will on guidance of $20 million, is that mostly working capital?
Harris DeLoach: It would be primarily driven by a lower use of working capital than expected.
Ghansham Panjabi – Robert Baird: Got it. Okay. And then just finally, can you just touch in inter-quarter volume trends by the industrial business, what you’ve seen there? That would be helpful. Thank you.
Barry Saunders: Sequentially, quarter to quarter, is that what you’re asking me?
Ghansham Panjabi – Robert Baird: Exactly.
Harris DeLoach: Yeah. Well, going into the fourth quarter, for both businesses we basically used our run rate that we see for both sides of the business and then adjusted it for the sequential adjustment we normally see. And what that would mean, and the consumer as that we normally see a bit of a kick-up in the first month, first month and a half of the year and then it tails-off, and for industrial you kind of just running at a flat rate and then it falls off towards the end of the year in December. So, that’s kind of how we model that.
Ghansham Panjabi – Robert Baird: Okay. And for 3Q, did you see any deviation versus plan during any of the months during the quarter?
Harris DeLoach: Yes, we did.
Barry Saunders: Go ahead.
Jack Sanders: Yes, we did, indeed. I think we clearly forecasted more of an uptick in the third quarter, more, hope we normally see seasonally, and we didn’t see that in the third quarter for consumer.
Barry Saunders: For consumer.
Ghansham Panjabi – Robert Baird: For consumer. Okay.
Jack Sanders: Not pretty much where we thought.
Ghansham Panjabi – Robert Baird: Okay, great. Thank you.
Operator: Thank you. Your next question comes from the line of Scott Gaffner from Barclays. Please go ahead, Scott.
Scott Gaffner – Barclays: Good morning.
Roger Schrum: Good Morning, Scott.
Harris DeLoach: Hi, Scott.
Scott Gaffner – Barclays: Just a quick follow-up on that consumer question. If I look at the seasonality within the third quarter, I think normally you talk about October being the strongest month within the third quarter in consumer, is that, did that pattern still hold up or did you see -what was the pattern that you actually saw within the consumer segment during, during the quarter?
Harris DeLoach: Well, October is the strongest month in the fourth quarter, and that’s kind of what we modeled going in from the current run rate. I think in consumer, we see a little bit of a build towards the end of the quarter. And we did see a little bit of that, but again October falls into the fourth quarter for us.
Scott Gaffner – Barclays: Right. Yes, no I got that one, I just I mean September, I thought September was the strong month in the quarter for you in 3Q.
Harris DeLoach: September is a strong quarter, and it was down from what we expected it to be when we initially gave guidance. And I will say it’s about, it was probably slower than it was when we gave the restated guidance as well.
Scott Gaffner – Barclays: Okay. And just looking at the end markets within consumer, I think you pretty much covered the food end markets, but the non-food markets especially sort of the industrial end markets have been molded and extruded. And maybe the blow molded outside of the beauty part. What were the trends there in the quarter?
Harris DeLoach: Well, certainly on the industrial markets that more from protected packaging, they remain very strong as we said, as Harris talked about the integration, the acquisition in the Protective Packaging business, part of the complicating factors that volumes are so strong in those industrial end markets, we are having to run higher volume across this integration that we are trying to manage as well. So, that – they remain strong. And I will tell you on the plastics, on the blow molding side our issue really came down to our multi-barrier, our multi layer barrier bottles customer had some production issues, but that is very much a one-time event, because we’re actually installing a third machine right now to meet their increased demand going into next year. So, that really was the blow molded story.
Scott Gaffner – Barclays: Okay. And then just last question on OCC, as you get further into the recycling business, how should we think about OCC more holistically versus lower OCC being a benefit on the mill system, but may be being a negative impact within the recycling business. How should we think about those two offsetting each other in – and is there anything you can do to improve or widen the impact of lower OCC on the recycling, recycling business?
Barry Saunders: Well, certainly one thing we can do to improve the impact of lower OCC on the recycling businesses is to manage our cost and our cost structure the best we can, but we are primarily a collection business. So we do have a cost threshold if you will that once the price falls below our cost to collect it, then we fall into a loss situation like we are today, but we’ll continue to manage that. But as you noticed, at this point in time at low OCC prices, it does help us on the paper side until we have quarter-to-quarter change and its impact is negatively on the recycling side. I can’t tell you that for projection for OCC is extremely aggressive by receipt and up substantially year-over-year for the next three years. So, if that is any close – anywhere close to being true, we would expect some solid performance from our recycling business.
Scott Gaffner – Barclays: Okay. Thanks for the color. I appreciate it.
Operator: Thank you. Your next question comes from Philip Ng from Jefferies. Please go ahead, Philip.
Phil Ng – Jefferies: Good morning, guys. The comment in your press release about how your customers are placing orders, only for the amount they need, is that a new development. I know order patterns have been pretty choppy for some time now.
Harris DeLoach: No. I mean this is pretty consistent what we have seen from the last 12 to 18 months, Philip. And I think the thing that is a little more difficult – the order patterns are what they are. I think the other thing, I mean, Jack touched on the one customer in plastics, which has a huge market share and they are particularly new additional rights, and they just simply some of the operational issues that they have got that will come back. And then I think the comment that I am making about two or three of our consumer customers are they are going through structural changes in their business models obviously create some temporary issues in the quarter as well.
Phil Ng – Jefferies: Okay. That’s helpful. And I guess, Jack, I think you’ve talked about in the past that with housing you’d come back to certain degree that would help bias for your Tubes and Cores businesses as well margins. So, that has been getting a little better or are you seeing pick as you relates to Tubes and Cores business?
Jack Sanders: Well, it’s hard to say that we have actually see in pick up, but I will tell you some of that relative strengthen being at where we expect it to be is probably being played out because of the increase in housing, because paper mills, we certainly saw some down – some downward pressure on our paper mill volume business because of some closures and some other things that we’ve seen. I think as we continue to build housing and hopefully continue to start. I think that is 850 now is what I saw, I heard. Then it will manifest itself with some improved tube and core business and if we could just layer on that some general economic kick, I think that’s what we’ve been waiting for.
Phil Ng – Jefferies: Okay, that’s helpful. Just because in grants there has been some one-off issues the last two years in your industrial business, but if volumes do come back a little bit, how should we think it’s about margins in this business, it’s been under pressure for the last two years going forward?
Jack Sanders: Well, again those two factors alone would have a significant impact on those margins, it’s a solid business tubes and cores are actually doing quite well.
Phil Ng – Jefferies: Okay.
Jack Sanders: Pretty pleased with where we are with that business right now.
Phil Ng – Jefferies: And I guess lastly, your balance sheet is improving as you guys pay down debt and as I look at 2013 should be a pretty sharp free cash flow year so. How should we think about cash flow deployment and last time we chat, I think your customers just trying to pull you towards the emerging markets, how should we be thinking about M&A for 2013?
Barry Saunders: Well, I think the balance sheet has improved. We drop debt-to-capital down below 45% from 47% something at the year end. But as we’ve said, without Tegrant we would spend the next 18 months or 24 months making sure we get our debt down to where we wanted in the 40% below range, and we will do that. At the same time, you don’t turn on the (inaudible) oh, I won so many M&A’s, so we continue to look and get hires and we’ll have a good balance of both of those things, Philip.
Phil Ng – Jefferies: All right. Thanks guys.
Roger Schrum: Thank you.
Operator: Thank you. Your next question comes from Chip Dillon of Vertical Research Partners. Please go ahead.
Chip Dillon – Vertical Research Partners: Yes, good morning gentlemen.
Harris DeLoach: Good morning, Dillon.
Chip Dillon – Vertical Research Partners: As we look at 2013, given that or late in 2012, can you give us a sort of a range where you see CapEx going next year especially in light of how you’re seeing the markets particularly the consumer market and how that would compared to this year?
Barry Saunders: Okay, I think right now, we’re in the middle of our strategic planning for our budgeting process which has been a strategic planning. So we will be rolling up the final budgets here in the not too distant future. But right now, I would expect our capital spending to be somewhere around $200 million. Some of that driven by the continuation and the finalization of the Hartsville master plan, and then driven by the opportunities we continue to see for expansion. We have an opportunity for a new can plant in Malaysia; that we’ve recently approved. And there are several other opportunities around the globe, in the snack market for composite can. So we see that on the plight for our 2013, so about 200 million, Chip.
Chip Dillon – Vertical Research Partners: Got you. And as you look at the consumer segment, could you remind us as of as we exit 2012 sort of what the mix is U.S. versus non-U.S. and as you think about some of the issues in the quarter at least related to the market with those and you might have addressed this and I missed it, but were those related primarily to the U.S. or were they pretty balanced outside the U.S. as well?
Barry Saunders: The (inaudible) this is North America probably 90% of it North America, and the issues that I talked about, Jack and I talked about we are North America based.
Chip Dillon – Vertical Research Partners: Okay, got you. And then just a last question have to do with OCC, you mentioned the sharp increase that the company has and I think if they are right, if we do see a tighter market globally, I would imagine, what we will – what we hear in Europe is a lot – are the lot of the consumers talk about their grip on the market. And, obviously something that’s fragmented is OCC does get sold ultimately/automatically to the highest bidder, that being said, you would think, if you can collect it near your plant, you should be able to outbid anyone else. And how do you think about that? And how – and how do you view your grip on your supply both here and outside the U.S?
Harris DeLoach: Well, I certainly would tell you that domestically, we believe that we’re one of the premier service providers in the industry. I talked a little bit earlier about the price of OCC, is now fallen below our cost to collect. One of things that our customers talk about Sonoco all the time is that they know that, when that occurs we’re still there. We’re still picking it up and we still paying for it. I think that gives us that same loyalty on the other end when the price is high. So, I believe our ability to collect and at minimum pay for the mills is outstanding, that is not a concern to me.
Chip Dillon – Vertical Research Partners: Got you. Thank you.
Operator: Thank you. The next question comes from Adam Jesse Josephson from KeyBanc. Excuse me.
Adam Jesse Josephson – KeyBanc: Thanks. Good morning, everyone.
Harris DeLoach: Good morning.
Barry Saunders: Good morning, Adam.
Adam Jesse Josephson – KeyBanc: You talked about composite cans earlier volumes down 3.5%, 4% which represents an acceleration of recent declines. What rate of declines do you think is reasonable to expect in future quarters based on all the issues you’ve discussed?
Harris DeLoach: I don’t expect continued decline in composite cans, Adam. I think we’re working on any number of opportunities to expand the can and to grow sales in cans. So, in a normalized economy, I wouldn’t expect the erosion in cans.
Adam Jesse Josephson – KeyBanc: And what accounted for the acceleration in volume declines this quarter, Jack.
Jack Sanders: Well, I think it was – Harris said earlier, it was a combination of three items and it kind of mix together a little bit differently. We had some segments that were simply down year-over-year and we experienced the impact of that. We had two to three customers that are making substantial structural issues and it’s impacting their business and consequently it’s impacting ours. And with inside categories, there is always format changes that switch from quarter-to-quarter. So, in any combination of those factors into the various sub-segments would impact that demand.
Adam Jesse Josephson – KeyBanc: Right. One of the composite cans, you’ve talked about expanding internationally. I know you mentioned the Malaysia can plant earlier. Can you just update us on your progress internationally there?
Harris DeLoach: Well, as I said, we have the Malaysia can plant that’s going in, and right now we’re evaluating opportunities in South America as well as in Europe.
Adam Jesse Josephson – KeyBanc: Terrific. And last one also in Consumer, the higher cost that you referred to – pension, labor and other, do you expect those to remain a drag-on results. I realize that lower discount rates affect the pension expenses, but what about the other issues?
Harris DeLoach: Well, again, certainly some of the comparison is the year-over-year change where again last year we had the favorable impact of trends of foreign exchange gains and life insurance proceeds and so forth, so that’s affecting year-over-year. Pension expense, we would expect to continue at this level depending in the fourth quarter and certainly next year’s, depending on where the discount rate ends at the year as well as asset performance.
Adam Jesse Josephson – KeyBanc: Terrific. Thanks, Barry. Thank, Jack.
Operator: Thank you. Your next question comes from Phil Gresh of JPMorgan. Please go ahead, Phil.
Phil Gresh – JP Morgan: Hey. Good morning.
Harris DeLoach: Good morning, Phil.
Barry Saunders: Good morning, Phil.
Phil Gresh – JP Morgan: I may have missed this, but did you say what the impact of that unscheduled downtime was in the quarter on EBIT on the industrial side?
Harris DeLoach: Well, the productivity mix that would be collection of the industrial downtime as well as the thermoforming issues we have in that consolidation somewhere in that 5% range would be an accurate reflection of what it was perhaps like something we’re holding on.
Phil Gresh – JP Morgan: Got it. Okay. And then just on Tegrant, I believe $0.07 of accretion this year as your target, you’re simply much on track with that, but the early quarters – I think in the first quarters actually dilutive and it sounds like you have some opportunities ahead here as well for next year. So is it reasonable to think that – it seemed pretty much on track with that but the early quarters, I think the first quarter is actually dilutive and it sounds like you have some opportunities ahead of here as well for next year or so. Is it reasonable to think that perhaps next year the accretion might be something like double or seeing this year, you see continued benefits?
Barry Saunders: Well, as I’ve said, I think certainly the first quarter of the year we did see the negative accretion and that really went to that integration being a behind schedule in the volume we were seeing. We probably are not going to get to that $0.07 this year, that’s going to be a stretch for us to get that figure out may be in that 5% range or so. But certainly do expect next year to see some acceleration in that accretion as we get a full year of all the benefits and have a better start to the year than we had this year.
Phil Gresh – JP Morgan: Got you. Okay. And then just a follow-up on Chip’s question about the CapEx, how much of the 2013 number is for the biomass boiler?
Jack Sanders: Roughly 35...
Barry Saunders: Yeah 20, 30, yeah $25 million to $30 million.
Phil Gresh – JP Morgan: Okay. So more normal run rate more like on the 70 then?
Barry Saunders: I think that’s correct.
Phil Gresh – JP Morgan: Okay. A couple other quick ones, what’s your outlook for resins in the fourth quarter? I know polyethylene was up in August, I’m not sure if you saw any impact from that on your business is what’s your outlook for resins that’s baked into your guidance?
Barry Saunders: Flat, not much movement.
Phil Gresh – JP Morgan: Okay. And then, the last question just on Europe, you talked about the share gains there. Maybe you could just elaborate on that a little bit, what region of Europe are you seeing the share gains, what end markets?
Harris DeLoach: Well, it’s kind of been pretty widespread but I would tell you that that market is under pressure and that we have some competitors that are struggling a little bit and the fact that we are the global leader in Tubes and Cores and we are stable, kind of brings customers to us and we have been able to win some volume with it, and we’re pleased with the wins we got.
Phil Gresh – JP Morgan: Okay. Last question, do you have an outlook for pension for next year, just given the impact of the Highway bill et cetera, contribution versus expense at this point?
Barry Saunders: Yeah, we certainly don’t have an update on expense for next year because again it will be determined by whatever discount rates are at the end of this year as well as their asset performance and at least year-to-date our assets are performing better than our assumed rate of return. So that will help to offset the impact of lower discount rates. In terms of contribution, the Highway bill certainly will have benefit and should essentially eliminate any requirement to contribute to our defined qualified plan in the U.S. So, when you look at our total contributions this year, we are estimating to be in the range of $75 million or so. That should be cutting about half.
Phil Gresh – JP Morgan: Great. Okay, thanks a lot.
Operator: Thank you. Your next question comes from Mark Wilde of Deutsche Bank. Please go ahead, Mark.
Mark Wilde – Deutsche Bank: You know Harris, that doesn’t sound like a South Carolina accent there.
Harris DeLoach: Well, it certainly is Mark.
Mark Wilde – Deutsche Bank: I am talking about the moderator. I am just curious, is there any carryover into the fourth quarter from these mill issues?
Harris DeLoach: No.
Barry Saunders: No.
Mark Wilde – Deutsche Bank: Okay. And then just a follow up on what Phil was just asking about what the Tube and Core business over in Europe, are you actually – are you seeing any kind of shakeout over there because you do have a lot of small privately held competitors in that market?
Harris DeLoach: I don’t know, Mark, that we see the shakeout, there seem to hang-on by the teeth or they are (inaudible) or whatever, but we are seeing some indications with some of them in financial distress. And I think in one case of one of the competitors, the French Government has actually taken an investment in the business, so they are indication of distress but I haven’t seen anybody shoot themselves yet.
Mark Wilde – Deutsche Bank: Yeah, okay. And then is there a significant difference between the margins you see and the European Tube and Core business and what you see elsewhere in the world?
Harris DeLoach: No, if you look at contribution margins around the world in any geography, they are in a pretty narrow band.
Barry Saunders: In the Tube and Core.
Harris DeLoach: In the Tube and Core.
Mark Wilde – Deutsche Bank: In Core business, yeah, that’s what I’m asking about. Okay. Just two other ones, with the display business or any of the customer businesses, does that give you any read typically on what we might expect in terms of the holiday seasons and sales in the holiday season?
Harris DeLoach: Well, certain displays as well as fulfillment and even alloy business is an indicator of what we should be getting and what should we see for the holiday season and that’s the timeframe we’re entering right now. So we’ll have a better feel about the middle of the quarter of what we actually are going to see – I mean, what the country will experience I think.
Mark Wilde – Deutsche Bank: What would your early rate be?
Harris DeLoach: Right now, I’ll tell you, we’re not that acceleration that we normally see, we’ve not yet seen it, but it could be just delayed couple of weeks because of the shortening of supply chain. We just – it’s hard for us to know right now.
Mark Wilde – Deutsche Bank: Okay. All right. And then the last question I had just can you talk a little bit about sort of the acquisition environment and what you’re seeing in terms of just properties available in valuation and remind us of what your focus areas would be as you are looking at acquisitions?
Jack Sanders: Yeah, I’ll continue to follow on something Harris said earlier, our focus right now is of course paying down debt and identifying acquisitions for us around the world. From an acquisition perspective, we continue to look at flexibles and blow-molding and we continue to look in Southeast Asia and in South America, and continue to evaluate those markets for opportunity. There’s certainly properties available, there’s certainly some good properties available, but as you know it’s all about buying it at a proper price. So that’s kind of where we are in the process.
Mark Wilde – Deutsche Bank: Okay. That’s very helpful, Jack. Good luck in the fourth quarter.
Jack Sanders: Thank you, Mark.
Harris DeLoach: Thank you, Mark.
Operator: Thank you. Your next question comes from Chris Manuel of Wells Fargo Securities. Please go ahead, Chris.
Chris Manuel – Wells Fargo Securities: Good Morning, gentlemen.
Harris DeLoach: Good morning, Chris.
Jack Sanders: Good morning, Chris.
Chris Manuel – Wells Fargo Securities: I have a couple of questions for you. First, if I could take a step back and take a big picture look at the consumer business, I recognize that volumes have been off a couple points, here again and I know volumes have been soft for a bit, but when you look at North American consumer spending it’s been reasonable. And I know you did mention a few discrete items with personal care customers and some other stuff in composite can. Is there anything structurally just inflation or anything else that you think shouldn’t get you back to low single-digit growth again in that consumer business over the next couple quarters and on a sustainable run rate?
Harris DeLoach: Yeah, when you do look at consumer spending, I would say that it has been reasonable or fair, but you also then have to look at the categories that consumer spending has actually been propped up by, I think I’ve recently seen data that says that spinning and electronics and those types of devices is doing well and actually eating out is doing well outside the home dining. So what you’re seeing in the food industry however and the numbers that you see from them is that the inflation and the price increases that went into food has certainly impacted their businesses in various markets. And I think that’s really what we’re experiencing right now as the inflation in foods that people are experiencing and then if you add to that the customer interruption from there, from the structural changes going on with inside the industry, that probably explains the bulk of what we’re seeing right now.
Chris Manuel – Wells Fargo Securities: The customer interruption, or something similar to that (inaudible) those relatively discrete items, will those continue or is that essentially behind you at this point?
Harris DeLoach: Well that’s our customers changing their structure and I think that once they are through that it should be over and done.
Chris Manuel – Wells Fargo Securities: Okay. They haven’t converted into something different okay.
Harris DeLoach: No, no they are changing the structure of their business.
Barry Saunders: Okay. Some of them are splitting and the company is (inaudible) and things like that.
Chris Manuel – Wells Fargo Securities: Lots of fun things going on but at the end of the day their product is still moving on the show.
Barry Saunders: The product is still moving although there are some indication that, there are some shortage on the shelves. Some of the products that we’re supplying and hopefully we will see a rebound from this when they get their companies together and need to build inventory again.
Chris Manuel – Wells Fargo Securities: Now that’s exactly what I was looking for. I just wanted to make sure that there was no – maybe change of (inaudible) or things like that.
Harris DeLoach: And I’m trying to be very discreet in my comments.
Chris Manuel – Wells Fargo Securities: Yes, no I understand. Okay.
Harris DeLoach: I understand, it’s great.
Chris Manuel – Wells Fargo Securities: If I could switch gears to Europe a second, I think you talked about totaled Tube and Core industrial volume over there being flattish. As you look forward, you talked about some share gains and some other elements, but the comparisons – that was about this time last year where things really started to fall off over there for you that the comps get easier that is flat going forward or reasonable assumption or could we in fact beginning to see maybe a little bit of growth, given the comparisons?
Harris DeLoach: Well, I would certainly hope that it is at flat and a minimum. I don’t – I am hopeful we don’t see a repeat of last year. I have no reason to believe we will. So I say that domestically the fourth quarter comparison should be up. And if we can get some resolution to pass forward through United States and around the world, maybe we can get some economic growth or at least a path forward that would also help.
Chris Manuel – Wells Fargo Securities: Okay. Thank you very much. Good luck, guys.
Harris DeLoach: Thank you.
Roger Schrum: Thank you, Chris.
Operator: Thank you. Your next question comes from the line of Al Kabili from Credit Suisse. Please proceed.
Al Kabili – Credit Suisse: Hi. Thanks. Good morning.
Harris DeLoach: Good morning, Al.
Al Kabili – Credit Suisse: I have just a question on Consumer. I guess that struck me as blow molding being down for the first time in a very, very long time and I was wondering if you could just talk about what you saw there that has changed this quarter? And with new products that also kind of surprise me being it down, are the new products launching or ramping up I should say as you expected? Barry Saunders:, let me first talk on new products. We expect to have somewhere around $40 million of new products for the quarter, $38 million something, and so we should in the fourth quarter and for the year be into $150 million again. That’s excluding Tegrant. So, we’re aware we expected to be and feel good about that. I want to back to blow molding specifically. It really is around a single event with a very large customer in a multilayer or a multi-barrier – multilayer-barrier bottle that had experienced some significant downtime that impacted us. But to reiterate, we are installing a third wheel for that customer that’s capable of generating some increased revenues next year. So I am not concerned about that particular event.
Al Kabili – Credit Suisse: Okay. Got it. All right.
Barry Saunders: I don’t like it, but I’m not concerned about.
Al Kabili – Credit Suisse: Okay. Now, that’s very helpful, I appreciate that. Do you think – I know you guys are underway a little on that private label side and the consumer, do you think that’s hurting your growth rate relative to the industry and what’s the opportunity, I know that one thing you’re looking at expanding on, is there anything out the year in terms of opportunity on expanding in that more into of private label side?
Harris DeLoach: Well, I’d certainly say that in the composite cans we have a fair presence in the private label side especially in coffee and some other brands; probably not as much in the blow-molding area but as we expand and as we get exposure to new customers, we are being exposed to new fillers who are pursuing us for more private label application. So we do feel good about expanding our presence in private label in both flexibles and blow-molding.
Al Kabili – Credit Suisse: Okay. All right. And then I guess final question from me is on China, I know you talked about your agent business being down double digits again in the third quarter. Anything more recently you’re seeing in China, is that so far getting a little better or what are you seeing more recently in China and how did that progress throughout the quarter. Did it get kind of get derived, the client get better throughout the quarter same – some color there. Thanks.
Harris DeLoach: Really no improvement in China and continuing to drift down slightly.
Al Kabili – Credit Suisse: Okay.
Harris DeLoach: Small, but still dripping down.
Al Kabili – Credit Suisse: Okay, all right. And this is mostly on the textile side where you’re seeing the -.
Harris DeLoach: Well, it’s almost – the business in China is almost exclusively Tubes and Cores although we do have a composite can facility that’s actually improving but that’s more related to the customer we serve, but mostly it’s all Tubes and Cores.
Al Kabili – Credit Suisse: Yeah. And those are -.
Harris DeLoach: Textiles, it is textiles and high performance films as well as some paper mills. So it’s really across all of the products of our portfolio.
Al Kabili – Credit Suisse: Okay. All right. Great. Thank you very much.
Harris DeLoach: Thank you, Al.
Roger Schrum: Thanks, Al.
Operator: Thank you. Your next question comes from Alex Ovshey from Goldman Sachs. Please go ahead, Alex.
Alex Ovshey – Goldman Sachs: Thank you. Good morning.
Harris DeLoach: Hi, Alex. How are you now?
Barry Saunders: Hi, Alex.
Alex Ovshey – Goldman Sachs: A couple of questions for you, I may have missed this, but in the consumer, can you please talk about the volume trends you are seeing by end market. What you are seeing in powdered drinks, refrigerator dose, snacks, et cetera.
Barry Saunders: Sure. Little bit more color around that, specifically, quarter-over-quarter, we saw that powdered infant formula was down about 13%, powdered beverage was down 16%, coffee down 16%, and nuts down 9%, and then that was partially offset by snacks being up 4% from the miscellaneous foods, can sales up 7%.
Alex Ovshey – Goldman Sachs: Okay. Thanks, Barry. And then as some of the industry did, I look at, it’s clearly showing that inflationary pressure for us as consumers are coming in at the retail level. Are you starting to see that begin to positively impact the volume trend that you would expect that it will impact the volume trends positively going forward?
Barry Saunders: Yes, again, I think there is an inflation of base that we should and the economy have strengthened, we should see a basic improvement across wide range of products.
Alex Ovshey – Goldman Sachs: Okay, thanks Jack. And then just switching topics here in the Industrials business, we saw a $50 container board price increase, are you going to see the price of the medium that you are selling out of Hartsville change?
Barry Saunders: We have seen a $50 increase in the medium.
Alex Ovshey – Goldman Sachs: And so, that should be a nice positive for that segment, would that be correct?
Barry Saunders: It is a positive.
Alex Ovshey – Goldman Sachs: And then on the flip side, I would think that Tegrant is a buyer of Corrugated, are you budgeting a high – are you budgeting to pay higher prices for Corrugated and the..?
Barry Saunders: We are budgeting to pay some increase of Corrugated next year. We are going to do all we can to resist it.
Alex Ovshey – Goldman Sachs: Okay, I understand.
Barry Saunders: And that $50 increase and the medium is baked into our guidance.
Alex Ovshey – Goldman Sachs: Okay, that’s helpful. And just last question, Jack you talked about a (inaudible) view on OCC, we being pretty bullish over the next couple of years, I mean, I am curious what are you guys seeing in your crystal ball for OCC over the next quarter and maybe into the early part of 2013?
Harris DeLoach: Well, what we are hearing now is perhaps a little bit of pressure on OCC that our exports continue to be strong. Expect that will fall off in that December timeframe, generation increase so expect it to fall through the first quarter like it would normally do. And then, if you get some normalized volume we’d begin to start see the movement up around the beginning of the second quarter. So, I would say it’s going to follow a more normalized pattern but we need to get through the next couple of months because they are a little bit abnormal because of the pressure that we see on OCC right now which you don’t normally see.
Alex Ovshey – Goldman Sachs: Understand, thanks very much guys.
Harris DeLoach: Thank you.
Roger Schrum: Thank you.
Operator: Thank you. Your next question comes from the line of George Staphos from Bank of America.
George Staphos – Bank of America: Hi guys. Couple of last quick ones, really and the call to just finish up. I guess the first question I had relates to M&A, you know you talked about obviously deleveraging being primary for you being still attuned to opportunities that exist in the market. And when we look at that in the returns the company has gone from recent acquisition and also the fact that you are gaining share versus lot of your competitors say in Europe, obviously in two in the course, I’m wondering whether it maybe wouldn’t be a better strategy to keep growing your business and taking share and pairing your competition as opposed to buying them out. How would you think about that?
Jack Sanders: Well, George, I would tell you that certainly is our strategy. That’s part of that complete strategy. I think when we look at acquisitions right now. Our focus is kind of on emerging market countries and our belief is this that we probably need to buy capability in that marketplace today unless it’s Tubes and Cores or Composite Cans in most case would just Greenfield, but in this other technologies that are little more new to us. We believe buying capability would actually enhance our capability to Greenfield going forward.
George Staphos – Bank of America: Okay. That was one of the questions I had for you Jack. At our recent industry conference, somebody from Sonoco, one of your senior leaders made on presentation on plastics and flexibles and rigid plastic packaging growth. And I think the global growth rate that you cited although I think it was a consultant’s report that you used as a source was looking something around 5% growth. Is that the type of growth that you are seeing in emerging markets for film for plastics and that would to just perhaps why be looking for acquisitions there?
Jack Sanders: Certainly, in some of our markets, absolutely.
George Staphos – Bank of America: Okay. So are you doing better than that or worsen that or that you think that’s a fair barometer for -?
Jack Sanders: That’s a fair barometer.
George Staphos – Bank of America: Okay. Thanks for that answer, Jack. I guess the last question I had on composites, again you have these episodic periods where competition tries to get into your markets, there has been a little bit of that over the last12 to 15 months. From our vantage point, it doesn’t seem like there has been much penetration by these new packages and these non-rounds in your markets. Could you agree or disagree with that? How would your non-round package has been doing, you’ve had the math for a long time, how are they doing in the market as well? And good luck in the quarter guys.
Harris DeLoach: Thanks, George. I would tell you that, we continue to work with our non-round; we believe it’s a good format. We got to be able to take it forward at some point in the future for new opportunities, but it’s competing against a very, very good products and that’s the round composite can and to make it a cost competitive option isn’t easy, it so requires a lot more work and there has to be a special application for it that it would that make sense.
George Staphos – Bank of America: And we would agree with your assessment of people knocking around without making a lot of (inaudible).
Harris DeLoach: Okay.
George Staphos – Bank of America: Good luck.
Harris DeLoach: Thank you all.
George Staphos – Bank of America: Thank you George.
Operator: Thank you. We have no further questions in the queue. So I would like to turn the call over to Roger Schrum for closing remarks.
Roger Schrum: Thank you very much. For those of you that are interested in attending PACK EXPO International which of course is our industry’s largest trade show in Chicago on October 28 through to 31st, we certainly encourage you to come by Sonoco’s innovation at McCormick Place. Sonoco’s booth is S1562 which is in the main hall by the way. Barry and myself will actually be at the booth on Sunday afternoon and most of Monday. So if you’d like to come by and meet with us, certainly you can come see us at that time. We do have a limited number of complementary visitor passes and they are available by contacting my office. Again our booth number is S1562. Also electronic invitations are being send today for our Annual New York Analyst Meeting to be held on Friday December 7th at The Grand Hyatt Hotel. As usual the meeting is scheduled to begin with breakfast at 7:30 A.M. and presentations will begin promptly at 7:55 A.M. And as usual we’ll try to be finish by 9:30 of course depending upon your question. If you would please RSVP in advance and if you don’t receive an invitation, don’t hesitate to contact my office directly. And let me again thank you for joining us today. We certainly appreciate your interest in the company. And as always, if you have any further questions please don’t hesitate to contact us. Thank you again.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Take care.